Executives: Frederick Earnest - President and Chief Executive Officer John Engele - Senior Vice-president and Chief Financial Officer
Operator: Good day, ladies and gentlemen. Welcome to Vista Gold’s First Quarter Financial Results and Corporate Update Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded. Today is Friday, May 4, 2018. It is now my pleasure to introduce Vista’s President and CEO and your host, Mr. Fred Earnest. Please go ahead, Mr. Earnest.
Frederick Earnest: Thank you, Jack. Good morning, ladies and gentlemen. Thank you for joining Vista Gold Corp.’s 2018 Q1 financial results and corporate update conference call. I’m pleased to be joined on this call by Jack Engele, our Senior Vice President and CFO; and also by Connie Martinez, our Director of Investor Relations, both here with me in our corporate office in Denver. In Q, we achieved two very significant milestones in the advancement of our Mt. Todd gold project. On January 2, we’re notified by the Australian Commonwealth Department of Environment and Energy that the environmental authorization required under the Environmental Protection Biodiversity Conservation Act of 1999 had been approved. With this approval, this now holds all of the major environmental permits for the development of the Mt. Todd project. Subsequently, on January 24, we announced the results of an updated preliminary feasibility study, which reflect the results of the testing and processory design changes that were completed in 2017. On March 2, we published the technical study detailing the work completed and the results of the preliminary feasibility study. Well, I will discuss the importance of these results later in the call, I want to iterate our believe that the Mt. Todd gold project is one of the most well-advanced and underappreciated gold projects in the hands of a developer today. In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or achievements of Vista to be materially different from any future results, performance or achievements expressed or implied by such statements. Please refer to our Form 10-K for a detailed discussion of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. I’ll now turn the time over to Jack Engele to discuss the financial results for the quarter.
John Engele: Thank you, Fred. Good morning, everyone. I’ll start with our statement of income and loss for the quarter. We reported a net loss of $0.9 million, or $0.01 a share for the quarter ended March 31, 2018. This includes $3.1 million of operating expenses, net of a $2.0 million mark-to-market gain on our investment in Midas Gold and other income of about $0.2 million. The main components of the $3.1 million of operating expenses include $0.9 million of fixed-site management cost at Mt. Todd, about $1.3 million of fixed corporate G&A costs, about $0.5 million in non-cash stock-based compensation and depreciation, and about $0.3 million of discretionary programs, the biggest of which involved drilling to provide samples for additional ore sorting and met testing programs. 2018 fixed cost at Mt. Todd trended higher than our Q1 2017 fixed costs, as baseline monitoring activities have been introduced in compliance with the terms of the EPBC permit, which was granted in January 2018. In addition, we have added a site employee. Q1 2018 corporate G&A costs also trended higher than our Q1 2017 costs. Higher 2018 costs were incurred principally as a result of the completion of the Mt. Todd PFS update, which drove an increase to our Investor Relations, regulatory, and compensation costs. Turning to our balance sheet. Our working capital totaled approximately $18.6 million on March 31, 2018, which included cash and T-Bills of about $13.3 million. The $18.6 million of working capital is down about $0.5 million from our December 31, 2017 working capital. The reduction results from the normal usage of cash to run the business during the quarter, offset by an improvement in the value of our investment in Midas Gold. The mark-to-market value of our remaining 7.8 million shares of Midas Gold at March 31 was $5.8 million. This is a 54% increase in value since the end of the year. The company continues to be debt-free. Looking ahead, through 2018, we expect to complete crushing, ore sorting and grinding tests, as well as some geophysics and modest drilling programs on our exploration licenses, particularly on the Wandi IOCG target. We are also planning a small drilling program in Quigleys, which we believe could be a future source of supplemental higher-grade mill feed. For our fixed costs, the first quarter of the year tends to mark our highest spend due to compliance cost at the corporate level and water management cost at Mt. Todd. That being said, we expect our fixed cost at both Mt. Todd and corporate G&A to exceed those in 2017. We believe that our existing working capital together with potential sources of non-dilutive financing will be sufficient to fully fund our currently planned fixed costs and discretionary programs beyond 2019. We continue to pursue non-dilutive financing opportunities, including the sale of our used mill equipment and the future auction payments for the Guadalupe de los Reyes project in Mexico. In addition, we maintain the auction to be able to sell some or all of our remaining Midas Gold shares at some future date. That concludes my comments. Over to you, Fred.
Frederick Earnest: Thank you, Jack. On our last call, I discussed the environmental authorization and the results of the updated preliminary feasibility study in detail. Rather than repeat what was said previously, I’d like to spend more time on the importance of those results. What do they really mean? As demonstrated in our corporate presentation, the Mt. Todd project is positioned to be a top five gold producer on the Australian continent with lowest quartile all-in sustaining costs. We have improved the project through extensive testing of proven off-the-shelf automated sorting technology, followed by metallurgical testing to support the design of a new and more efficient grinding circuit. The inclusion of automated sorting is estimated to generate efficiencies resulting from the elimination of 10% of the run-of-mine feed from the processor prior to grinding as uneconomic waste. This results in proportional cost reductions in the grinding, leaching and tailings handling areas. By utilizing the excess capacity of the HPGR crushers generated by the sorting, we expect to achieve efficiencies that provide benefits in the grinding circuit. The grinding circuit is now designed as a two-stage grinding circuit with smaller ball mills and a second stage of grinding utilizing horizontal IsaMills. Test work indicates that this combination of two-stage grinding will efficiently produce a finer final product with less energy consumption. Leach test indicate an important improvement in gold recovery, resulting in improved revenue generation. As we’ve done in the past, we continue to use well-respected industry professionals and widely acclaimed testing facilities for the work at Mt. Todd. The cost estimates for Mt. Todd have been developed based on first principle estimates and current quotes for consumables. We have used the McDonald’s salary survey, a broad-based Australian-centric salary survey to estimate labor costs. We have designed the Mt. Todd project to be a community-based project, with most of our workers living in the town of Katherine only 30 minutes from the site. This concept is warmly received by the local and Northern Territory communities and aims to provide broad economic benefit to Katherine and the Northern Territory. This offers significant cost savings compared to the more traditional fly-in, fly-out model used in remote parts of Australia. I’m not aware of a gold project in the hands of a developer like Vista that has the project size and projected production capacity of Mt. Todd, that is as well-advanced. With our major environmental permits now approved, we have turned our attention to the mine operating permit. This permit, called a mine management plan in Australia was submitted for government review last November. We’ve recently received comments from the agency, and we are confident that we’ll be able to achieve preliminary approval later this year. Final approval will not be granted until we complete a feasibility study. Australia has a lower political risk jurisdiction, it is mining-friendly. At Mt. Todd, we enjoy easy access. We’re only three hours from the Darwin Airport on paved roads all the way to the main gate. The power lines were built by previous operators as well as the natural gas pipeline. We plan to build an operate own power plant fired by natural gas from the pipeline, allowing us to generate power for approximately 25% of the cost of power from the existing grid. In assessing the economics of the project, we have used $1,300 gold price and an $0.80 per Australian dollar foreign exchange rate. Currently, the exchange rate is just over US$0.75 per Australian dollar. We continue to enjoy tremendous leverage to the price of gold. The CapEx for the project has been reduced 20%. We believe that we have demonstrated technically and economically that the Mt. Todd project is both well advanced and derisked. I invite all to take a closer look at the results of the work that was announced in the first quarter. Given the advanced stage of Mt. Todd and its attractive economics and production profile, investors are increasingly asking us about our development financing plans. Based on our view of the market and comparable development projects, we believe Mt. Todd is a project that will ultimately be developed. Based on our analysis, we believe the project will have substantial debt capacity. However, for a company of our size, the equity requirements remain significant. And our current view is that standalone development through equity issuances or other sources of project financing such as streaming or royalty arrangements is not attractive relative to other options such as partnering with a strategic developer. After listening to this discussion, you will not be surprised to hear that these results have caught the attention of certain groups that we would deem to be potential strategic partners. Last fall, a number of confidentiality – since last fall, a number of confidentiality agreements have been signed and due diligence of investigations commenced. Our current view is that a strategic partnership based on the intrinsic value of Mt. Todd is the best way to attract the capital to develop the Mt, Todd project, while preserving the significant upside potential for our shareholders. In conclusion, our Mt. Todd gold project is the largest single deposit undeveloped gold project in Australia, with 5.85 million ounces of proven probable reserves, Vista controls the third largest reserve package in Australia. This is ideally located in the Northern Territory of Australia with paved roads to the site and other existing infrastructure, such as power lines, a natural gas pipeline, fresh water storage reservoir, and a tailings and common facility. We have achieved significant milestones and now have in place the foundations for creating improved shareholder value. We have earned the trust of the local stakeholders and believe that our social license is firmly in hand. I’m pleased that we now have all of the major environmental permits for the project. I’m excited about the results of the updated preliminary feasibility study. I would reiterate that these results are the outcome of technical improvements to the project. They are based on extensive technical testing. For more detailed information, I would refer you to the Canadian National Instrument 43-101 report that has been published on SEDAR and is available for download. For more comprehensive assessment of the value according to Vista, on the Mt. Todd project, I refer you to our corporate presentation, which can be found on our website at www.vistagold.com. There you will be reminded that we presently trade at approximately 0.1 times NAV, compared to our peers trading in an average of 0.6 times NAV. This represents a significant opportunity for increase in shareholder value. Mt. Todd is a well-advanced and technically derisked gold project. All major environmental permits are in hand and accomplishment obtained by very few of our peers. It has the potential to be the fourth largest gold producer in Australia with lowest quartile cost. It is favored with easy access and excellent existing infrastructure, all in the mining friendly jurisdiction of the Northern Territory. We believe all of this adds up to an exceptional investment, with a gold investor looking for growth potential and leverage to the gold price. We will now respond to any questions from participants in the call.
Operator: Thank you. [Operator Instructions] There are no questions at this time.
Frederick Earnest: Very good, Jack. I’ll just wrap up the call then. We’d like to thank everybody for taking time to join the call this morning. We’re very pleased with where the Mt. Todd project is positioned, and we’re working very diligently to advance the project, while creating shareholder value. We want to thank each of you for your time and we wish each of you a very pleasant day.
Operator: This concludes today’s conference call. All participants may now disconnect. We thank you for your participation.
A -: